Ditlev Engel: Good morning and welcome to Vestas Wind Systems Third Quarter Results for 2012. Welcome to people in the room and also welcome to press, analysts, investors that have tuned in; and colleagues, my colleague’s investors for this presentation this morning. We have labeled this presentation apart from the third quarter, obviously, the preparation for a profitable 2013 continues and that is going to be some of the main features and drivers that we’re going to talk about apart from the actual results that we have presented this morning. As earlier, on the Q2, I will do the introduction then my colleague, Dag Andresen, our CFO, will take you through the financials, and then I will talk more about the order intake and the outlook. And then both of us will be here for the Q&A session that we will take as we normally do both in the room but also over the phone. Let me start by saying what is it that we want to achieve with the organization that we put in place in November 2011. It was, number one, Vestas that is focused on two revenue streams based upon wind turbines and services. It is also an organization that should be scalable and flexible. We needed to focus more on our ability to deliver on product cost out. We knew that 2012 would be tough and also that we have to prepare for even tougher 2013 market not least on installation of new turbines; and thereby, a scalable organization and a new management team to execute this was of the utmost important, but we have to do it in a way that we could maintain both our focus on quality and technological leadership. All these things are the ones that we have been working with ever since November 2011, and we had to do it in a way that we kept on intensifying our focus on our customers who are obviously the key driver for everything that we are doing in our operations on a daily basis. This has been part of the overall plan that we laid out, as I said, in November. And at that time, we also said in the beginning of 2012 that we had unfortunately to close down 2,335 positions during 2012. As we were transing more ahead of the plan, we further increased the expectations with an additional 1,400 that was announced in connection with Q2 in August earlier this year. All this is in the process, as you will see in a minute of being implemented and executed. And we also said back in August that we had to adjust the Vestas organization for an activity level of around 5,000 megawatts in 2013. And that is still the plan that we carry today. While at the same time, I will come back to that, have announced that additional 2,000 head count will not be in the company by the end of 2013. So, overall, we are, seen from that point of view, working our way through this adjustment of the organization to the new operational model, but of course, also preparing Vestas for these uncertain times in particular with installation of new turbines. Just for the clarification, you have here on this slide the numbers that we are going through and the number of people that have been leaving us. And as for November 2012, we have realized the reductions of 3,700 colleagues. We will have an additional 1,000 that are in the process of leaving us, temporary employees, people who are working in their termination period. And therefore, it’s a little difficult to say categorically, how many will we exactly be when we do the head count by the end of December and that’s why we say we will be approximately 18,000 by the end of this year or early 2013. The additional 2,000 head count that we talked about is not necessary just layoffs at Vestas. They will come from three areas. Number one, we are looking, as previously mentioned, into divestments and that means that maybe some Vestas facilities will be having a new owner, but that means that we’ll no longer be at Vestas, but with maybe under new ownership. Number two, we will keep on focusing on our hiring freeze as we have done also during this year. And finally, we will carry on with further optimization within the organization within each of the executive management areas which, of course, will mean some additional layoffs but not to the tune that is being mentioned here. All this will mean that with will be, as I said, by the end of next year 16,000 people versus approximately 18,000 by the end of this year. That also puts us in a position to further escalate our expectations to savings compared to the end of 2011 and where we see to end at the end of 2013. And that means that we are now targeting the savings of approximately €400 million. That is, of course, quite a significant challenge, and something that has been executed during a very busy 2012, but also means that when we are talking about building Vestas for more profitable 2013, then these are of course one of the important building blocks in terms of the cost saving. This also directly blends into the productivity. If we just compare where we were at the end of 2011, we shipped or produced approximately 5,100 megawatts. This year, we expect the figure to stand around 6,300. That is an increase of 24%. If we look at the number of employees that we were by the end of 2011, we were at 22,700. And now, we expect to be around 18,000. That means a reduction of 21%. And as you will see later on, we have actually increased within one area in particular and that is within service. So, overall, I think a positive development when you look at this within the productivity area. I know that there has been made various comparisons between the number of employees that we were some years ago compared to the activity level that we see, for instance in 2013, as both of them in 2007 stood at 5,000 megawatts. And we expect the same activity level in 2013. Now, when you look into the service business within Vestas and deduct that, you will actually see that the number of employees within the manufacturing area will have gone down by more than 10%. And that is important when you look into the productivity because in 2007, a lot of this was made in fewer plants, in particular in Europe. We now have a much more diverse manufacturing footprint. And that means that it is also, let’s say, with more units. And that normally also would mean that the number of FTEs will go up. So, further productivity improvements are going to take place, but has already taken place, and therefore, one has to, when one looks into this number, to remember that the service part is becoming quite a substantial part of the number of employees that we have within these areas. Some of the initiatives, I will not go through all of them here. They can be found later on in the presentation. But a lot of initiatives have been undertaken or are in the process of being undertaken in order to make sure that Vestas get properly adjusted to this overall activity level that we are now seeing in the market and is also one of the reasons why, as you will see later on, why we have made some additional provisions on special items. So the organization that we put in place is now there. The executive management positions have been filled. But of course, there will still be within some of the areas further optimization within each of the areas in the executive management. But overall, the organization is in place for being both a most scalable and a lean and effective organization compared to what we have in the past, and an organization that is adjusted to these tough market environments. If we look particular into the Q3 report, I would say that if you look into the earnings, revenue, and cash flow, then they are in line with our expectations and also what we mentioned in connection with Q2 in August. They are, as I said, special items due to write-downs and Dag will come back and talk about this. But our fixed cost and our CapEx continue the downward trend as we previously said it would. We have, due to the uncertainty of the high amount that we have to execute here in the fourth quarter and also due to the uncertainty on the order intake, increase the free cash flow guidance from previously positive to positive to minus €500 million. And as also can be seen in today’s announcement, we consider this to be more of a timing issue that we have to relate to. The Q4 order intake is expected to be the largest in the year following a very weak order intake on turbines in the third quarter, and I will come back and speak more in detail about this a little later on in the presentation. And finally, another main event is the additional savings of more than €150 million that we do expect to execute in 2013 through as I said further consolidation and, of course, also the head count reduction that I just spoke. And with this, I’ll be to turn the microphone and the space over to Dag, who will take you more into the details of the Q3 results and such.
Dag Andresen: Thank you, Ditlev. We go directly into the activity level at different factories. As this picture show, we have a 6% increase if you’re comparing last quarter in 2011 to this quarter. This is mainly driven by the shipments up, shipments in U.S. now dampening and that’s due to the PTC expiration getting closer. And we see also, as Ditlev mentioned, we have shipments expected to increase by more or less 25% up to 6.3 gigawatts. Deliveries is the key primary revenue driver for the company. We have 15% of comparing last year quarter to this quarter but we would like to highlight regarding Q4, there will be certain uncertainty regarding grid connection, weather, and other disruption that will set more or less the principal level for what will be achieved in Q3. Income statement, this is the second quarter. We have positive operating profit, €13 million and also special items that I will confer back to, €153 million, and that’s due to the situation that we are actually changing the operating business model of the company and tightening of the operation in principle on a global level. We have an operating profit margin at 7%. Comparing from Q3 2011 that was minus 6.9%. Special items. First of all, I would just like to say that if we start at the right part, €35 million is due to approximately 1,000 employees and also the already ongoing redundancy. This has a cash effect on the P&L. The write-down of other assets is due to the closure of R&D facilities in U.S. and Denmark. And we have also centralization of group treasury, taking that back to the headquarters here in Aarhus and closing down in Zurich, and we are scaling down our activities in India. Regarding development products, we have €62 million, and that’s due to change of technology regarding blades and also tower cranes. Looking into deliveries and revenue, in Q3, we see that deliveries transfer of risk is increasing 15% to 1.464. And the revenue component as we said is increasing to as far as 49%, very close to €2 billion for the quarter. Gross margin, if you look quarter-on-quarter, this project margins may result in a substantial fluctuation in the earnings. This is due to the uniqueness of the different projects that I’m going to show a little later on, but also that industries that we are working in has this kind of volatility in principle, very much based on what kind of timing regarding placement of order and also regarding revenue recognition. If we compare with the very challenging situation we have in the Q3 and Q4 2011 and also the Q1 in 2012 at 1%, we see that today, we are at the level gross profit at €203 million and 10% gross margin. This is a picture we showed before. I think this is very important to understand. If you look at more than 200 projects from Vestas side, you can see the different uniqueness and the 10 components that is key driver for the variation and volatility both regarding margins, both regarding operating profit and also regarding principle through revenue for the company. Fixed costs; the fixed costs is continue going down. That’s based on the different initiatives and projects that the company has pursued, but also is closing and some of them go further on into 2013. We see that this will be for the lower by the September layoffs, and also cost reduction for more than €250 million with full effect as from year-end 2012. This is very important since the trend line is actually what we should focus on and not the absolute number for the quarter. Going into depreciation and amortization, we see that we know have an increase in depreciation, and that’s due to the issue about completion of some of the R&D projects and also that they have full serial production of 112 and the GridStreamer. Production of employees, the total reduction of employees is going to be approximately ending out at 18,000 people in the end of this year. This is more than we announced in quarter two 2012, and we would like also to emphasize that these initiatives and disposals will contribute that they’re going to reduce cost with more than €400 million with full effects from the end of 2013. Operating profits development, as you see, the operating profit from quarter three 2011 to quarter three presented today, we see that they have a very good increase in volume. But due to certain projects, both in U.S. and in Germany, they had lower margin on several of these projects that we’re also aware of. But, again, €52 million from service and volume and margin is giving this a positive contribution in addition to the fixed capacity cost of €24 million. Then as we said before, the depreciation and amortization has no thought reduce the P&L and for the period, it was €13 million, ending out us today with a €13 million profit, operating profit. Going to comparing quarter to this quarter, we see starting at €40 million operating profit and still very high volume but again, the margin actually were also based on the year projects. It means that taking this down by €124 million. It feels that we have service volume and margin going a little down due to some more costly contracts just for the period. And then ending out in the operating profit in €13 million, that is second quarter in a row. Service revenue is continued according to the plan. There is also further potential in the service industry in principle. We see that more and more of the contracts and also for existing turbine fleet but also new turbine fleets delivered and set in operation. We also increased in the number of serving contracts in principle. The increase to service revenue by 46% if you compared last quarter last year to this quarter and we had for the nine months operating profit before allocation of group cost €137 million and also after the allocation group cost, we have an operating profit for the first nine months of €77 million. And Ditlev said, we have more or less now 5,000 people in this operating segment. And we also foresee and have a very strong hope that this is going to continue and we have further plan how to develop the service industry. Balance sheet, due to the write-down of R&D projects as mentioned before and the centers, different R&D centers. We are actually having a reduction in intangible assets and property, plant and equipment. And net debt and net working capital is increasing due to the high activity level of the company that we are into now. The change in the net working capital, if you compare in quarter 2011 to quarter three, you see that both inventories and their prepayments was more or less balancing each other, but still we have payables and other liabilities that’s ending out in the €481 million net working capital. If you’re comparing over the last three months, we see that both inventories and prepayments is more or less equally balancing out each other. That is actually a very good thing, but of course, then we have the payables that is actually setting the net working capital for the period at €481 million. Megawatt under completion, first of all, I would like to highlight that in the U.S., we have only 438 megawatt left, and that is before the PTC is expiring. It means actually the risk for deliveries in U.S. is going down. We have an increase for the period by 6% comparing quarter-by-quarter. And we see also that megawatts under completion will decrease in quarter four and also influencing the net working capital and the materials for the company. We have a much better performance for the wind turbine fleet going forward for the whole period. We see that for the nine first months, we have a warranty consumption of €33 million lower than actually what we had set aside as a warranty, but we also see that we have very limited consumption regarding the V90 gearboxes that we have informed about before. And the company have loss production factor target should be below 2% for the year. You also see that V112 is actually improving and performing better than expected. Cash flow, you see change in working capital from €472 million last year same quarter to minus €151 million and that’s actually negatively impacted by the change in payments and the prepayments and payables. And we see also cash flow from investing activities is as much as 69% lower. And we see that we will have a lower run rate going forward for the company as such. And also net CapEx is lowered by the sale of the tower factory that we have informed about in Varde in Denmark earlier. Net debt to EBITDA, we see net debt is expected to be reduced by the year-end. We see also that earnings are expected to be higher than in Q4 2011. And we expect both the denominator and also EBITDA to improve for the last quarter 2004. So, the net debt to EBITDA leverage is going to continue in the same trend line as this one. Invested capital, we see that both CapEx during the first nine months was €151 million lower than depreciation and amortization. And we also now initiated a process to identify outsourcing opportunities in the combination with looking over the global footprint for manufacturing for the company. This is giving, as you can see, a return on invested capital. And I would like to highlight, as I said before, also in Q2, that the company has a strong focus both on operating profit and also on invested capital. And you see that the end of the curve in Q2’s – 2012 Q2 and we have the trend line going up according to better lower investments and higher return. That means also we foresee that we will come to a breakeven level in the end of the year. And then I would like to give the word over to our CEO, Ditlev Engel, for looking into the order intake for Q3.
Ditlev Engel: Thank you, Dag. Turning into the order intake and the development in the third quarter, let’s start by looking at the order intake for wind turbine and that was down by 70%, which is obviously quite a significant drop compared to the same period last year. Obviously, we knew that the wind market was slowing down, and in particular, you cannot see on this slide, but for instance in the United States, there’s obviously been very low activities due to the uncertainty in the market that has been there during the third quarter. So definitely the global wind market is slowing down but that is also what we have predicted when we look at our activity planning for 2013. We do, however, still expect that the fourth quarter will be our biggest quarter in the year, and that means that we will see a rebound in the fourth quarter of new orders like we also seen in the past. And normally, the fourth quarter is the busiest quarter when it comes to placing the orders. I would also like to say that everybody know that the installation is very challenged at the moment, and, therefore Vestas has maintained a very strict policy on making sure that we have those balanced projects, both in regard to profitability, payment terms, and risks, and I think that’s important to be aware of that this is something that we rigorously are looking into, and some things then if you look at Vestas overall, I think, over the last many years, we have been very strict on ensuring that we are not running into major challenges when executing some of these very big projects. Even on a very low basis, but nevertheless, the average prices went up with 10% from €0.91 million up to €1 million megawatt, and that of course, also has to do with the mix. But at least we are now around €1 million per megawatt in the third quarter. That means due to the low order intake, also what we have executed in the third quarter that our backlog has come down. And as you can see here in the middle, in Americas, obviously as was mentioned earlier by Dag, as we have been handing – or executing more there, we are also seeing that the backlog in Americas is going down. However, we still have when it comes to the turbine side of the business a backlog of €8.3 billion, and the value of the backlog is exactly €1 million per megawatt also that we need to execute going forward. If we look into the service business which is not part of the backlog that you just saw, then we now have service contracts by the end of the third quarter of €4.9 billion. And we are seeing that the average length of the contracts that we’re executing are now in the range six to seven years. Dag also mentioned earlier that we are now close to being 5,000 people in our service business. And not only do we have a sizeable backlog of close to €5 billion, but if we look into how the service is going hand in hand with our installation business, then there are two parameters to be aware of. The first one is that if you look at the orders that we have announced, then in 94% of the cases, they do come with a service agreement after the first nine months. And if we look into the renewable rates, that means that when we have service agreements currently with our customers that are expiring, how many of them are being renewed with the clients which is, of course, also important when building the service backlog, then we are now at 89%. And I take that as a clear sign that the activities that Vestas is undertaken within service and the performance of the turbines that we saw previously is going well. And we need to make sure that we can keep on building on this momentum as we are further developing our service business in the years to come. If you can recall, I showed a similar slide in Q2 between the balance of the backlog between wind turbines and service. And if you compare the two here, you will actually see that the chunk of service and the backlog has gone up compared to the total where we last year or last quarter stood in the magnitude of around €40 billion. Turning into the outlook that we foresee for the rest of the year, we still expect the shipments around 6.3 gigawatts as we also did in August. Revenue is around €6.5 billion to €8 billion. We have due to the high level and the increase that you saw 46% in service, increased our revenue expectations to service from €850 million to close to €900 million. EBIT margin unchanged between 0 to 4% and also unchanged EBIT margin on service of around 17%. We have lowered our investments from €450 million to €350 million and you will see in a minute how that is composed with €200 million in intangibles and €150 million in tangible. Special items as you saw from Dag’s presentation has been increased due to the additional write-downs that has taken place here in the third quarter. Finally, we have increased the, I would say, the uncertainty of where the cash flow is going to end by New Year’s Eve from previously positive to now, positive to minus €500 million. And that has a lot, of course, a lot to do with the exact timing on when exactly the cash inflow will happen and outflows over the New Year. And of course, also to the down payment that we expect to receive on new orders, how this is going to develop, and therefore, we have increased the spend on the cash flow from previously plus zero to now – plus zero to minus €500 million. Warranty provisions still stands at 3%. And as you could see previously, there is a positive development both on warranties and the LPF. The lowering of the CapEx, which is quite significant in 2012 compared to where we were in 2011, is down from €760 million to now expected €350 million. And if you look at the tangible investment, then it’s due to property, plant and equipment that we have lowered with an additional €50 million. And then, intangible investments are lowered also with €50 million driven by a more focused R&D which we also spoke about in Q2. Finally, just a few words, I have received a lot of calls this morning to get Vestas’ comments on what the election last night will mean for the expansion of the PTC seen from Vestas’ perspective. And let me just add a little flavor to how we see it. First and very importantly, whether there is a production tax credit or not for 2013, then Vestas has prepared and therefore is prepared to whatever way this is going to play out. We do believe actually that the PTC will be extended. We, of course, cannot say that with certainty. But we’ll have to see what now happens in the coming months, and as people are preparing for the new composition in Washington DC. We also should say that we are looking into the development and how this is going to affect our activities not just in the U.S. but also Canada, Mexico, and in Central and South America. But as I said, we think that there is still a likelihood that the PTC will be extended and if it goes through as it is now being presented to the proposals on the table, it actually means that it will become close to a two-year extension because the way it’s formulated now means that if you are 5% complete with a project in 2013, you will actually still get the tax credit after 2013. But that is what is on the table now. But of course, until things are signed into law, we are still preparing for – that it will be challenging in to 2013 in the U.S. Finally, as I said in the beginning concerning preparing for profitable 2013 despite the very challenging installation market that we will see next year, we have adjusted operations for an activity level around 5 gigawatts and done so while still expecting to make a profit next year. Secondly, with the approximately 18,000 employees that we expect to be at Vestas by the end of this year and with the additional optimization as mentioned earlier with 16,000 people by the end of next year, we will have achieved the cost savings in the magnitude of €400 million, which again is an important building block for securing a profitable 2013. Finally, something that has not impacted our books so much into 2012, namely the cost out of our product platforms in order to further benefit the earnings of the company, then because of the way that we recognize earnings and revenue, then we do not expect this to have a big impact in the year 2012 only in the magnitude of €30 million and the predominantly part is going to be here in the quarter four of 2012. But it goes without saying that much more have taken place within this area during this area and that means that we have high expectations to a positive impact for the product cost-out when we look into the year 2013, but we will come back and talk more in detail about this when we give our expectations for 2013 in February when we are reporting the Q4 result. So those are some of the very important building blocks for securing a profitable 2013 despite the uncertainty in particular in the turbine market. And with this, we’d like to turn to the Q&A session and I don’t know if we have any questions here in the room. If that is not the case, then we will go straight to the phone and take the questions, operator.
Operator: Thank you. (Operator Instructions) Lars Heindorff from ABG is online with a question.
Lars Heindorff – ABG: Yes. Good morning, gentlemen. Question regarding your production platform. You mentioned in connection with the second half – for the first half numbers that you had a production platform around about 9 gigawatt. With the new cost-out plans that you have scheduled here and also the potential sale of factories and other stuff, what kind of platform are you aiming for?
Ditlev Engel: The size that you talk about here, of course, varies within which area that we talk about and, of course, also with the confirmation of the turbine types that we are producing. I will give you an example. For instance, you can say we do not have 9 gigawatts activity or possibility within tower. What we have is within some of the other areas. What we have done overall with the 5 gigawatt adjustment that we are making now means basically that we are adjusting the company to that cost level next year. And then I think you can always discuss if we can squeeze more through in one of the areas. But overall, the company will be in a position to produce around 5 gigawatt next year, and that is what are planning for and what we have planned for the industry.
Lars Heindorff – ABG: Okay. Second question is regarding the PTC extension, I think Dag mentioned that you expect the net debt to EBITDA will improve going to the fourth quarter. Now, if the extension will come and I sense that you expect that also that that will follow and a number of new order intake in the early parts and latest part of 2012. What kind of impact would that have on your cash flow in the first half next year?
Ditlev Engel: It’s, of course, difficult to say exactly what impact it will have. As I said, our expectations is that the market in 2013 in the United States will be very challenging. If we get a fast extension of the PTC, it obviously will have a positive impact not only for the planning for 2013 in magnitude, but definitely also, as you mentioned, for the down payment. But to what magnitude, I think that’s not safe to say what it would be. The only thing I can say is that we are just planning for 2013 is going to difficult in United States but we’re hoping to see an upside but how big the upside would be, I think...
Lars Heindorff – ABG: Okay. Just...
Ditlev Engel: I mean, I’d do it as I mentioned before that you have to be 5% complete in 2013. So, if the PTC gets extended, there’s going to be a lot of time pressure on to get going and therefore one should be hopeful for that if it gets extended now that that will actually have quite an accelerating effect. But we’ll have to wait and see.
Lars Heindorff – ABG: Okay, so just a follow-up on that because I can see that you also changed your EBIT margin target from 5% in the medium terms and now it become a high single-digit. But that is subject to a normalized U.S. market. I’m curious to hear what you see as a normalized market in terms of installations.
Ditlev Engel: Well, let me say that even if the PTC should be extended now I don’t think we’re going to see a normalized U.S. market next year because we are so late into this year. But a normalized market is not what – even we should have extend it tomorrow, we would not see that in 2013 but then we will have to see how that will play out for 2014. And we still expect to have a high end single-digit margin on a normalized market. But then we’ll have to wait and see how the, let’s say, the policies plays out there.
Lars Heindorff – ABG: Okay, thank you.
Operator: Claus Almer from Carnegie is on line with a question.
Claus Almer – Carnegie: Yes, hi. My first question goes to your 2013 aim. After the Q2 report you also said you were aiming for a profit 2013. Now, you are reducing the number of employees further and you’re also introducing new cost saving initiatives. Should we at the effect on top of your aim into – after in August or has the market deteriorated even further since then? That’s my first question.
Dag Andresen: If can start. I would say we still stand at 5 gigawatts next year as we also said in August. So, that is basically unchanged in terms of the overall activity level. You can, of course, say that if you managed to take out these additional €400 million for 2013 then obviously, that is going to have a more positive impact on the expectations for 2013. But we will come back and talk more in detail about this at the fourth quarter.
Claus Almer – Carnegie: Okay. And then about the capital structure; at the Capital Markets Day, there was a slide where you hinted that that was under consideration. Given your change in cash flow guidance for Q4, how do you look at your cash flow structure going into 2013?
Dag Andresen: Challenging and not maybe the best Q3. So this, we all have been pretty clear about all the time. It has not actually changed the plan for the capital structure for the company at this stage. Yes, the following things that we are going to close the agreements with the banks and we are going to evaluate the need for further capital if that’s going to be the issue as it is today. This go for 5 gigawatt production. We are scaling down regarding FTEs taking out costs, further cost out from the products and also with the significant lower investments level. Going forward, it means that we have a much more tighter and more robust financial company during 2013. This will, of course, have an implication on the whole capital structure of the company in a positive way. But until further notice, we have no further plans regarding any equity issue or a capital increase at this stage.
Claus Almer – Carnegie: Okay. Then my final question about the offshore and your announcement about Mitsubishi negotiations, in the free report you just mentioned that you are in talks with several partners. Does that mean that you are, I mean, you’re open for everything and you are not in any closed negotiation with Mitsubishi?
Ditlev Engel: I have nothing further to add to the Mitsubishi, apart from what was announced in the second half of August this year. But I have one comment to make just on the cash flow. I think it’s important, it was also mentioned in the report today mainly when we talk about the uncertainty on the cash flow that we still expect that due to the uncertainty over the New Year that the timing of this given outflow and the first weeks of 2013 just to be aware of that in our point of view, we are looking more of the timing issue here and that’s important to be aware of.
Claus Almer – Carnegie: Okay. Thank you.
Operator: Daniel Patterson from SEB is on line with a question.
Daniel Patterson – SEB: Good morning, gentlemen. I have a couple of questions. Firstly, on the free cash flow guidance. Of course, it’s potentially a very large change if you come out at the lower end in the fourth quarter. You’re mentioning €275 million in the fourth quarter. How should we think about this, I mean, if all of the projects – the, let’s say, risky projects, they sort of get them across before New Year’s then you expect to land at the upper end, and if none of them come across and the cash flow moves into the first quarter, then you’ll end at the lower end. Is that the risk or is there something else that we are missing?
Dag Andresen: I think, Ditlev just said it. We have a timing issue that we are presenting today that he was not actually aware of in Q2, because we see that the time for delivering the projects can actually stretch over for next year. You have to be very clear about the distribution of the payments to the company. Very often when you place an order, you get approximately 10% to 15% payment, shipments, you get 40% to 50% of the payments; and of course, with technical completion and final completion and delivery, we get the rest of the payment. And this means actually as you see the high stocks that we have in projects under completion. This will, of course, now be reduced successively during the autumn and also during the first quarter it means that lower net working capital, lower inventories and better cash position. So this is our timing issue and we say that there is a risk but the risk is about weeks, two to four weeks and some of this can come after the end of the year, some can be before but still, there is an uncertainty there. In addition, as we said earlier on, there is a lower order intake in the last quarter, lower than it was actually anticipated. And this means actually as we need to take this quarter-by-quarter.
Daniel Patterson – SEB: Okay. Second question is what is the current status of your manufacturing footprint evaluation? If you don’t have any news, can you maybe then tell us when do you expect to have any news, timing-wise?
Ditlev Engel: Well there is some – there is not a lot of news there. I mean, we have said all the time, we were and we said that in August also, we were adjusting to the 5 gigawatt and that is what we have been doing all the time. And that is what has been put in place. And now concerning the potential divestment, then that is something that we, of course, are evaluating and we have to make sure that it makes sense. And then we will come back when there is something to say but for the overall planning and for the execution of 2013, we have basically prepared the organization for being able to do around this 5 gigawatts next year. And again, as I’ve said, a megawatt is not just a megawatt because it’s also a leading composition of the type of turbines that we’re looking into and the implications of the composition of the portfolio.
Daniel Patterson – SEB: Okay. Maybe one final question. I saw remarks that you, Dag, you are commenting that Vestas might be interested in selling a 20% stake in the company. Could you comment on what’s the thoughts and reasoning behind that?
Dag Andresen: Yes, I referred to, I had a question this morning with one of my interviews and they were referring to the Chairman, Mr. Bert Nordberg’s announcement in a newspaper. And what the chairman say is that he’s welcoming any large investor. If it’s going to be 20% or 5% or 8%, that remains to be seen. But when the chairman has stated this in the media and they have not said anything else, this is still valid. I think it’s very important to understand that we need investors and shareholders to understand that the turbine industry is quarter-by-quarter a volatile industry and we need to look in the industry over a business cycle. I know as you maybe also know very good that wind is a very important part of the energy mix. And over a business cycle, five to seven year, we see that energy will also be even more important part of the energy mix. This means also it’s more a relative question about new profitable areas on the global market where this we know continues to be – have a bigger part regarding total energy mix composition. So, this means that we need investors to understand not only the company, the turbine, but also the service industry that is getting more and more important for the company because it reduces the operating profit volatility and it gets more stable profitability going forward. It is also needed for investors to understand that the industry that we are working in is a part of the whole energy mix solution. What is very clear that the company leads very strong that we’ll be even more important going into the future even if we have a pretty challenging year in 2012 from the company side. You see that we address all the issues and we did some of them faster than we also have anticipated. This means that the companies are preparing to have a healthy, robust financial and prudent way of operating going forward. And based on this, it’s is up to the board and the chairman to invite eventually shareholders to be part of the company. We hope also that things we are doing is welcome because it means that we have execution capacity to do the things that is needed to do when the global market is putting some challenging time for us. I think also it’s very good to discipline and set discipline into the company. This is the first time we actually been testing if we can face the situation as we do for the whole wind turbine industry for 2013. And based on what we said today and also for announcement is extremely crystal clear that we managed to have the situation in a prudent way. So regarding – back to the question, any investor that is interested in this company and they understand the energy mix, of course, they will be welcome.
Daniel Patterson – SEB: May I ask, is it sort of – we understand this as an open invitation. I understand why you would want a long-term investor. Are you working actively on this?
Ditlev Engel: I think you should put this statement to the chairman, but if you read exactly what it says, I cannot imagine that you just say one thing and he’s still are not doing anything with it, to say so.
Daniel Patterson – SEB: Okay. Thank you very much.
Operator: Fasial Ahmad from Handelsbanken is online with a question.
Fasial Ahmad – Handelsbanken: Hi, yes. Fasial Ahmad from Handelsbanken with a couple of questions. Firstly, my question relates to the backlog. You have roughly 8.3 gigawatts in your backlog. Could you just try and give us an understanding of how much of this is for delivery in 2013? And to what extent or how large part of the backlog currently is on hold and how much is alive actually? That’s the first question.
Ditlev Engel: Let me just say, we never comment on the timing of the backlog. And of course, it’s important to remember that Vestas backlog consists on projects that are permanent and unconditional, and that means that what you cannot see in these figures, if that was the question of being alive or not, are the so called conditional projects because they are not counted into the backlog. Only the permanent condition is the start of the year, of the backlog that we talked about here. So I don’t know what the definition is of alive, but in our point of view, we did say at least very much alive over leading.
Fasial Ahmad – Handelsbanken: So sorry, I’ll just try and elaborate on the question here. I’m basically trying to get an understanding of to what extent have your customers actually pushed delivery times into the future compared to the original deals which you have signed and announced?
Ditlev Engel: Normally if you look at the normal contracts that we have then obviously we have had some contracts where we, for instance, have signed a pack of framed agreement with this firm and then the rest is build on, for instance, percentages that the customer is going to do. There, we only take the part which is firm in there and the rest we will see how things will play along. Overall, I would say it is not that often that you see major changes that compare to the timing versus our expectations. But of course, there can be issues on a political side, grid side which requires that something have to be pushed by the client side but normally I would say we have a fairly good view on when do we expect this part of the backlog to build.
Fasial Ahmad – Handelsbanken: Okay. And my second question relates to your free cash flow guidance and timing of free cash flow. You mentioned that you’re cutting your guidance as basically an issue of timing. Does your bank and creditors also view this as a timing issue?
Ditlev Engel: I would like to inform you that first of all to make it there we have a very good relationship with the core banking group of the company. Number two, the core banking group is always informed on the rolling financial forecast stretching for 6 to 12 months. So, they know exactly about the situation for the company going forward and, of course, they also understand and know the timing issue, because as I said, I have very good interaction and dialogue with the banks and have it all the time. This is a precondition, at least, to have a banking relationship that you keep the banks informed upfront in a prudent way about how you look at your financial forecast in principle. So, they are aware of the situation and we continue our relationship as before. Thanks.
Fasial Ahmad – Handelsbanken: All right. Okay and that’s all. Thank you.
Operator: Patrik Setterberg from Nordea is on line with a question.
Patrik Setterberg – Nordea: Yes. Hello. A couple of questions. I want to better understand your EBIT bridge. I want to have or could you give me a elaboration of the wind turbine margin, why is they developing – weakening in this quarter?
Ditlev Engel: On the EBIT bridge, but can you repeat the last sentence?
Patrik Setterberg – Nordea: Is in relation to the negative effect if we’re looking compared to the second quarter this year. You have a negative effect of €124 million.
Ditlev Engel: First of all, I would like to say that several other projects that is counted into the cash flow to the company did not actually have very good margins. It means that we had higher cost and higher cost for some of these turbine systems that we delivered. It means also that they had a much lower margin that was taking the stocks. That’s the key factor to say so.
Patrik Setterberg – Nordea: Is that the projects you were referring to in the United States and Germany? Excuse me, can you hear me?
Ditlev Engel: Yes and yes.
Patrik Setterberg – Nordea: And could you please elaborate, is this a general problem with your projects in the United States and Germany that you have too low prices in these regions?
Ditlev Engel: Okay, so that there’s still more complex situation. First of all, the European and U.S. market in principle have some higher prices on the wind systems after delivery. Number two, you also know that we had challenging times regarding introduction of new technology, that is going to influence the whole year that actually was the easing of the margins for some of the turbine system that we delivered. So this is actually a part of the whole picture to say so. This is for the period, we do not foresee that this is going to continue since, as we have said, we continue with the cost take-up from the different platforms, 30 million hopefully hitting us for the last quarter. And of course, we have plans to standardize even more to reduce the cost for the different turbine platforms. So this also is the situation that was more or less dedicated to the quarter as usual.
Patrik Setterberg – Nordea: Okay. Yes, that was it for me.
Ditlev Engel: Thank you.
Dag Andresen: Thank you.
Operator: Arnaud Brossard, from Exane BNP Paribas is online with a question.
Arnaud Brossard – Exane BNP Paribas: Hello, everyone. Hello, gentlemen. On your free cash flow expectations, if we look at your EBIT guidance for 2013, it’s somewhat comparable to that of 2012. Apart from the timing issues that you mentioned, can you please explain to what extent you would expect the 2013 free cash flow to materially differ from the one of 2012. And in particular, can you please tell us when you expect the special items to affect free cash flow?
Ditlev Engel: Thanks. Regarding 2013, when we’re presenting the year-end results, we’re going to account this is the next lock time for everyone coming with a new guidance. Regarding the numbers, as such, I would like to close this quarter and the next quarter and then we’re going to make up the total few points on 2013. So, as we said before, we expect that the quarter four is selected, will be a positive cash flow. Number two, we have increased the stand regarding cash flow focus for this year. And this means actually, this is a pretty challenging time for the company. But to be very concrete, I would like to wait until we present the year-end results and come up with a new guidance.
Arnaud Brossard – Exane BNP Paribas: Sure.
Ditlev Engel: We know that analysts, investors, and banks, and everybody is very occupied about cash flow. This is also one of the top three priorities and if you read a little more, and we said before, there is a big potential in taking down the networking capital and also reducing the inventory or improve the inventory management substantially. That’s a part of the project that is ongoing now that will improve the situation. Because earlier on, we had very many storages, very many inventories, very much networking capital, but there is a potential to look forward in a more balanced way and that’s a part that we will come back to and hopefully see the export in 2013. But as you know, the company has been under full turnaround. We are changing the business model for the company, looking into manufacturing footprint, looking to the inventories and net working capital, reducing number of employees in the same time we have the highest delivery top more or less as ever. So, I think that we need the quarters coming forward to adjust and calibrate the company more to be even more efficient. So, very much about the net working capital and the cash flow is going to be improved due to the operating expense of the company. And this is very much again referring to the manufacturing footprint and also to how fast we managed actually to reduce the investments and also reduce the number of employee in all profitable areas. Thanks.
Arnaud Brossard – Exane BNP Paribas: Okay, thank you. And one word about the special items, how much of these are expected to be cash and what proportion would be in 2012?
Dag Andresen: Since we say 35 million is going to hit P&L, that’s what we said actually in the presentation. So, other item of this 153 is non-cash issues.
Arnaud Brossard – Exane BNP Paribas: Sorry, I’m not sure I heard correctly. You said 150 is non-cash.
Dag Andresen: I said of the total write-downs and the total special items of 153, only 35 will hit the P&L because that’s due to the FTE reductions planned.
Ditlev Engel: Of the – it sounds right, (inaudible) 153 total, of which 35 has cash effects.
Arnaud Brossard – Exane BNP Paribas: I was referring to the full year guidance, the 225 to 250.
Ditlev Engel: Okay. But we will come back to you because that’s a whole composition, so we’ll come back to this issue in a year and how much of this will be hitting the P&L, but until further, it’s is only 25 – 35, excuse me.
Arnaud Brossard – Exane BNP Paribas: Okay. Thank you. And finally, can you just tell us why you decided at this stage in the year to cut your CapEx expectations?
Dag Andresen: Because it’s, as I said before, we are – the company is in a program that we are changing the whole company both regarding operations, the financial capacity of the company and also the investments in principles. What I said before and our CEO said before, we said it also during the Capital Markets Day, that all projects that is not going to be profitable within the next eight months or is possible to get to the market approximately within the same time span has been closed on. We are going back now to basics and that’s actually to delivering the world’s best turbines at the best prices, competitive prices. And we do actually then closed on a lot of other initiatives and projects that has actually drawn a significant amount of investments. In addition also, we see that the service business that is marginal, low-cost business, if you exclude the FEs means actually that we can now concentrate on turbines, on service systems and also on the different platforms and also the total wind system. And this means that we cannot take down the investments in principle of the other areas that we had plans about before when the market and a global outlook looks differently. We have also been doing a concept clearance with a large industry customer in the customer segment and when we get an information from them then will say clearly what they would like to have from Vestas and then we’re concentrating on what the core projects and the core systems they would like to have. And based on these the company has taken decision of reducing investment.
Arnaud Brossard – Exane BNP Paribas: Okay, thank you very much.
Operator: Klaus Kehl from Nykredit Markets is online with a question.
Klaus Kehl – Nykredit Markets: Yes, hello. Most of my questions have already been answered but a follow-up question on the CapEx questions before. This 350 million you expect here in 2012 should we see that as a sustainable level going forward? Is that what you mean?
Ditlev Engel: Yes, we have talked about in the past as well that if you look into the intangible side, we know that the development program for instance on our offshore turbine we run before, is of course a big contributor to the spend there. But again this is, of course, depending on going forward what we plan to do within that area. But of course, one platform drives a lot of the intangible investment back to shore when we started to depreciate the V112 and the GridStreamer which I believe came in the magnitude of around I think probably will be 350 or so. On the more tangible side, then of course it depends on the changes that we are making and at least within the manufacturing footprint. And of course, when we announced the V126. We also mentioned that the blade technology that is going to be used there will be much lower CapEx-intensive than the technology we have been using so far. So, but again, it depends on the overall activity level as we see it and of course, we’ll come back and give our perspective on how we see this into 2013. But these are some of the main drivers of the total CapEx.
Klaus Kehl – Nykredit Markets: Okay, and then a follow-up question, would you be able to launch the new offshore platform with CapEx levels in this range and perhaps most importantly, the intangible investments? Is that realistic?
Ditlev Engel: The only thing I will say is that, as I’ve said, the V100 and V112 costed us as I’ve said, the development cost was in the magnitude of 350. And you can probably expect that the V164 is not going to be there.
Klaus Kehl – Nykredit Markets: Okay. Thank you very much.
Operator: Sean Mcloughlin from HSBC is on line with a question.
Sean Mcloughlin – HSBC: Yes, good morning. Most of my questions have been answered as well. I wanted to just have confirmation, is covenant retesting on the syndicate loan going to happen by the end of the year?
Ditlev Engel: We will conduct to the market when we have closed the final, with underlining the final discussion with the RCF Bank. And when this is closed, the final negotiation about the RCF decomposition and the structure and the covenants in RCF, then we will inform you respectively that all of you. So, this is more or less about the timing issue. It takes the time it takes we’re going through. This is reached many participants in the RCF and in many banks and need to have in one composition to say it’s over. When it is over, we’re going to inform you. And then we can continue with the testings and as we have indicated during the presentation all the different denominators regarding the financial capacity of the company goes in the right direction, and that’s we’re very happy about.
Sean Mcloughlin – HSBC: Thank you. A follow-up question, if you could specify what you mean by scaling down in India?
Ditlev Engel: The only thing we have said is that in terms of our optimization, of our approach to the market, it means that we need to make sure that we have a satisfying earnings level. And that is what we mean by that we have reduced some of our activities there. It was also this…
Operator: Kasper Larsen from Danske Bank is online with a question.
Kasper Larsen – Danske Bank: Yes. Good morning. Hey, just one question left basically. Could you elaborate a bit on what your maintenance CapEx are? What kind of level that is, please?
Ditlev Engel: Again, because of what? Our what?
Kasper Larsen – Danske Bank: Your maintenance CapEx pretty much what you need to sustain your current facilities, et cetera?
Ditlev Engel: We have not given a number for that. At least you can say that compared to the past as we have made some closures then that is helping in that direction, but we haven’t given the exact specification on what is the exact runway on the maintenance CapEx.
Kasper Larsen – Danske Bank: Okay. Thank you.
Operator: Håkon Levy from DNB Markets is online with a question.
Håkon Levy – DNB Markets: Good morning and thanks for taking my questions. You have write down free cash flow quiet significantly, partly as a result of weaker order intake than expected. Can you elaborate on in which geographies that have not met your expectations in the third quarter?
Ditlev Engel: I think the – I would be hesitant to talk about this on geography because it’s clear for instance that due to the uncertainty in the U.S., nothing really has happened on that front. But overall, I would say – I don’t see this as just a geography. I see this as there are the uncertainty right now in the installation of new turbines and not necessarily just driven by a geography, but we are expecting a rebound in the order intake in the fourth quarter as we say that we expect that to be the largest quarter. The question is obviously how large in terms of the uncertainty on the cash flow from that part of the business.
Håkon Levy – DNB Markets: Okay and secondly, are you seeing any interest – timing of the cash flows towards the year-end? Are you seeing any effects of the Storm Sandy in the U.S. for completion of U.S. projects? And do you face any potential liabilities in case you’re not able to achieve completion as agreed? Thank you.
Ditlev Engel: I think that first on this one, no. And just very clearly why, if you look at the CHEOA and the shipments if you look into one of the slides, you will actually see that the U.S. part is going down and that, of course, also means that the potential risk of compensation and not to complete projects I think is very well managed by our U.S. organization. So we don’t expect to have negative surprises for the installation of turbines before the New Year in the U.S. and which is very positive. Another thing which I think should be taken into account that is, A, the revenues actually grew 49% in this quarter. We had a very busy third quarter, and we’re of course also having a very busy fourth quarter. But unlike last year, we are no longer installing new technology. We are installing what is now known technology to us, both V112 and some of this have caused us a lot of problems with running in of new plants. So I would say from an execution point of view, it’s still a massive part and that, in itself, is a risk. But if I look at the technology risk, if I look at the political risk in terms of the B2C, I actually think that we are in a much better position today than we were for instance within that area 12 months ago. So yes, there’s a lot to do, but I would say we know now the technology and how to get it done and this is also what is improving in the third quarter.
Håkon Levy – DNB Markets: Okay. Just a follow up. In terms of your guidance for the fourth quarter, that order intake will be the best quarter in 2012. Is that dependent on extension of the B2C or is that independent of a B2C extension?
Ditlev Engel: Well, that is irrespectable of the U.S. because as I said, we have planned for low activity level in the U.S. and in 2013. And that, of course, also entails the order expectations in the fourth quarter. So the rebound in the fourth quarter is not expected because we will – we will get – we will take it if it happens but we don’t expect to see a big cost for rebound from the U.S., but we’ll see what happens.
Håkon Levy – DNB Markets: Okay, very clear. Thank you.
Ditlev Engel: Thank you. I think we have time for the last call operator.
Operator: Next well have Shail Hill from Macquarie online with a question.
Shail Hill – Macquarie: Yes, good morning. Shail Hill from Macquarie. Just a couple of questions please. Ditlev, I wonder if I might just push a little bit on timing because certainly when you announced big orders you do give an indication of delivery timing. And then I think a lot of people want to know whether the 8.3 gig on your order book now is largely covering the 5 gig you expect to ship next year or give us some indication of how much more you would need to sign in order to be very completely confident on your 5 gigawatt shipment guidance for next year. So, that’s the first question. Secondly, in the order inflow of Q3, obviously very soft. Can you give us any geographical detail there? Obviously I assume China and U.S.A largely disappeared. But was Western Europe very weak too? And finally I just want to ask about covenants this year. You obviously suggested there’s a renegotiation going on with the RCF providers. I just want to know if you are EBIT negative before special items this year. Are you in breach of RCF covenants as they currently stand?
Ditlev Engel: Okay, let me start by pushing back on the timing of the backlog. I understand the question but we never give the timing of the backlog. You’re right that we – when we announced some orders or when we announced orders we try to give an indication of when we do expect them to be executed. But we don’t give a total timing of the backlog as we are – as we have never done. Concerning the order intake, again it’s not only a question about taking in orders. It’s also about making sure that you’ve taken the orders that also will secure the profitability that you would like to see going forward. And then we have been very clear now that we have to make sure that the risk and the reward is properly balanced. And that is a policy that we have actually always had at Vestas. And even though that the market is more pressed now, then we are not giving up on those principles. We have to make sure that we stand to our standards in terms of the orders that we’ve taken, even that the market is under more pressure right now. And geographically, we have not, as I’ve said also before, it’s not just a question of certain geographies, I think overall you can say that at this moment, the total market for new turbines is under a lot of pressure end of third quarter. But again, we expect a rebound in the fourth quarter. Then the last point on the covenants, we would never comment on the covenants, but I don’t know if Dag wants to say more on that.
Dag Andresen: I can – I would just like to repeat myself and I fully understand that you would like to have insight into our capital structure and the loan agreements. But the company policy is that we do not actually motivate or go into discussion with neither analysts nor investors regarding details in the loan agreements that we have with the different banks. First of all, I would like to just state what we’ve said before, we expect to test on our loan levels in the end of the year, and that’s the statement from the company.
Shail Hill – Macquarie: Okay. Thank you.
Ditlev Engel: Thank you very much. With this, I would like to thank everybody for tuning in today. And we look forward to February when we’re going to present not only our fourth quarter but also our expectations to 2013. Thank you very much.
Dag Andresen: Thank you.